Operator: Good day. And welcome to the Quest Resource Holding Corporation Second Quarter 2019 Earnings Call. Today's conference is being recorded.At this time, I would like to turn the conference over to Investor Relations representative David Mossberg. Please go ahead, sir.
David Mossberg: Thank you, Edvaldo, and thank you everyone for joining us on the call today. Before we begin, I would like to remind everyone that this conference call may contain predictions, estimates and other forward-looking statements regarding future events or future performance of Quest. Use of words like anticipate, project, estimate, expect, intend, believe and other similar expressions are intended to identify those forward-looking statements.Forward-looking statements also include statements regarding Quest's future opportunities for growth, Quest's expectations for revenue, margins and profitability in future periods, Quest's industry position and industry trends, Quest's prospects, outlook and business strategies going forward and Quest's belief regarding progress and timing. Such forward-looking statements are based on Quest's current expectations, estimates, projections, beliefs and assumptions and involve significant risks and uncertainties.Actual events or Quest's results could differ materially from those discussed in the forward-looking statements as a result of various factors, including changing market trends, reducing demand and the competitive nature of Quest's industries, discussed in greater detail on Quest's securities and filings with the Securities and Exchange Commission, including its report on Form 10-K for the year ended December 31, 2018. You are cautioned not to place undue reliance on such statements and to consult our SEC filings for additional risks and uncertainties.You can find those documents on Quest's website at qrhc.com. Quest's forward-looking statements are presented as of the date made and we disclaim any duty to update such statements unless required to do so by law.In addition, in this call, we may include industry and market data and other statistical information as well as Quest's observations and views about industry conditions and developments. The data and information are based on Quest's estimates, independent publications, government publications and reports by market research firms and other sources.Although, Quest believes these sources are reliable and their data and other information are accurate, we caution that Quest does not independently verify the reliability of the sources or the accuracy of the information. In addition, Quest's observations and view about its industry conditions and developments are its own and may not be supported or agreed with by other industry participants or observers.Certain non-GAAP financial measures will be discussed during this call. These non-GAAP measures are used by management to make strategic decisions, forecast future results and evaluate the company's current performance.Management believes the presentation of these non-GAAP financial measures to be useful for investors' understanding and assessment of the company's ongoing core operations and prospects for the future.Unless it is otherwise stated, it should be assumed that any financials discussed on this call will be on a non-GAAP basis. Full reconciliations of non-GAAP to GAAP financial measures are included in today's earnings release.And with all that said, I will now turn the call over to Ray Hatch, President and Chief Executive Officer.
Ray Hatch: Thank you, Dave. And welcome to everyone on our call to discuss second quarter financial results. Joining me today is Laurie Latham, our Senior Vice President and Chief Financial Officer.We are pleased with the trajectory of the business and the strength of our customer relationships. We had good growth in gross profit dollars and adjusted EBITDA on the second quarter. In fact both gross profit and adjusted EBITDA were records for the company.Given the nature of our business requires that we handle multiple ways to ensure our customers the revenue mix changes in the quarter sometimes make comparisons on the topline difficult. This was certainly the case in the second quarter.I’ll ask Laurie to give some more color on that in a moment, but importantly we are and will continue to focus on managing the business to grow gross profit and this is and will continue to be the key metric we used to gauge our success.Based on gross profit results, we had a record second quarter and year-to-date financial performance. Our strategy of focusing on industries, companies, and waste transfer we provide the greatest value add is showing progress.Our pipeline of profitable opportunities continues to grow and among other new business we recently had two wins in the foodservice vertical, what we’re highlighting today is Buffalo Wild Wings which we believe we're positioned to provide significant value going forward.Before I go into more detail, I’ll turn the call over to Laurie to review the financials. Laurie?
Laurie Latham: Thank you, Ray and good afternoon to everyone on the call. Second quarter revenue was $25.4 million a decrease of 8.9% compared with the second quarter last year. Year-to-date revenue was $52.1 million which was relatively even versus the prior year. There were two primary factors that affected our year-over-year second quarter revenue comparison. These factors had negligible net impact on gross profit contribution in comparison.The first related to the impact of a slowdown in production at one of our largest industrial customers, which affected our lower margin waste stream. This accounted for about half of our Q2 decrease compared with Q2 in 2018.The amount of revenue we derive from this customer from this waste stream is likely to continue to be subject to the same unpredictable Q2 macro factors and may fluctuate from quarter-to-quarter, but should continue to have a negligible impact to our gross profit dollars.With less of this high volume, low margin waste stream and the mix during Q2, our Q2 gross margin increased to a record 18.7%. The other primary factor impacting Q2 revenue comparison was related to our cycling out of our low margin service with another customer during the fourth quarter of 2018. This revenue reduction did not materially impact the gross profit comparison.Moving down the income statement, as Ray indicated, second quarter gross profit was a record increasing 7.3% year-over-year to $4.7 million. Year-to-date gross profit was $9.3 million, a 16.5% growth year-over-year. The improvement in gross profit was due to the combination of increase services from both are continuing and new customer base, along with lower cost of certain subcontracted services.As I said earlier, gross margin for the second quarter was 18.7% of revenue, a quarterly record and a 280-basis-point improvement compared with Q2 last year. The improvement in gross margin over the last several quarters was primarily due to the service mix shift in our business and lower cost of certain subcontracted services.Our gross margin percentage has been above our targeted range for the last several quarters and we believe that it should remain elevated in the second half of the year due to year-over-year service mix changes. Also, as we said previously, gross margin can vary from quarter-to-quarter depending on our revenue mix and other factors.Going forward, we expect to grow gross profit dollars and generate gross margins within our targeted range of low-to-mid-teens.Second quarter operating expenses decreased 6.3% year-over-year to $4.6 million. Year-to-date operating expenses decreased 5.2% year-over-year to $9.1 million. The decrease in operating expenses primarily relates to lower amortization expense. As certain intangible assets were fully amortized as of July 2018, the lower amortization expense was partially offset by an increase in SG&A.SG&A expenses increased 9% during the second quarter and 10.6% year-to-date, approximately $248,000 or about 30% of the year-to-date increase was for professional fees and expenses related to the selling stockholder transactions that closed in April 2019. With the remaining increase related to labor and other SG&A expenses. In particular, the increase in labor and related expenses reflected reduced headcount level in Q2 2018 due to open positions, which we felt during 2019.Net income per basic and diluted share was breakeven for the second quarter of 2019 compared with a net loss per basic and diluted share of $0.04 for the second quarter 2018. Year-to-date net loss per share improved from a loss of $0.12 last year to a $1 loss per share this year, which included $248,000 or $0.02 per share of expenses related to the April 2019 selling stockholder transactions.Our adjusted EBITDA was a record for the second quarter, increasing 5.8% to 825,000 versus last year. Year-to-date, adjusted EBITDA increased 81.3% to $1.6 million. The improvement in adjusted EBITDA reflects the operating leverage in our business, which should allow growth in adjusted EBITDA and profitability at a faster pace than the top line as we move forward.We compute adjusted EBITDA, which is non-GAAP financial measure to provide additional insight into our financial performance. I’ll refer you to the table in today's press release for our reconciliation to GAAP.Turning to our balance sheet, our cash balance was $2.1 million at the end of the second quarter and increased of approximately $1 million compared with the second quarter of 2018 and relatively unchanged compared to the first quarter of this year. We had $4.9 million drawn on our $20 million credit facility, down $300,000 from the end of the first quarter.At this time, I'll turn the call back to Ray, who will discuss our initiatives and outlook.
Ray Hatch: Thanks, Laurie. And before we review our progress on our strategies, I want to take a moment to point out a couple of recent changes, the Board made to our governance policies. Our commitment to align management and the Board with shareholder interest is reflected in our latest proxy statement.We approach stock ownership guidelines that align long-term interest of our executive officers and the members of the Board with our stockholders, introduced a derivative trading policy and improved an updated clawback policy for incentive comp.This year we had changes into two of our Board seats, including our Chairman, reduce the size of the board from nine to eight and fundamentally change and broaden our investor base. Both the Board and management have committed to Quest and share a common vision from the significant opportunities to grow and enhance shareholder value.Moving on to the progress of our -- on our strategic initiatives. Progress was evident in the second quarter record performance or gross profit and adjusted EBITDA. In addition, I'm encouraged by several recent wins and the increase interaction we're gaining in our sales efforts.Late in the second quarter we had a Buffalo Wild Wings to the customer. Under the multiyear agreement we will manage the waste and recycling for over 500 Buffalo Wild Wings corporate restaurants located throughout the U.S. and Canada.You may have the release regarding this customer today. A few weeks ago we secured similar contract with another restaurant group with hundreds of locations nationally. Both are wins against incumbent traditional way service providers.This was illustrated how our value proposition is truly differentiated. Our asset light model provides greater flexibility in terms of finding the best solutions to meet both the financial and sustainability goals of our customers.The factors cited by our customers in these wins included a one Quest saves the customer money. We optimize the customers waste streams and offer significant savings over the incumbent to make money by disposing waste in their landfills.Secondly, Quest offers a full breath of services and capabilities. We’re multifaceted provider allowing for multiple recycling options from food waster to construction materials.Third, Quest offers a comprehensive and interactive data reporting. Buffalo Wild Wings as an example, can now more easily report sustainability improvement to his customers, investors, employees and other stakeholders, and also gain visit valuable visibility into its waste streams by location, which continues to take action to improve operation.And finally we differentiate by delivering superior levels to customer service. This is something I probably don't talk about enough, but our customer first culture is really a critical factor in how we win and retain customers. Let me read a recent quote from one of those customers.I did not truly know how good the customer service level would be like first account management team is stellar and extremely responsible. I have a hard time keeping up with them when they need something from me. It's a great problem to have. This is a type of comment I hear frequently and I'm very proud of our team and I want to thank them all for doing such a great job.These two customers enhance our present value-added service provider in the foodservice vertical. This is a large and relatively untapped market for us and we’re clearly gaining traction there. It is a good demonstration of our strategy of developing our presence in industries with complex waste streams, where we can bring a differentiated service offering.In the process focusing on new market protocols, we're significantly diversifying our exposure to specific market. Three years ago much of our revenue was driven by from big-box retailers and grocery store chain.Over the last three years automotive service, industrial end markets have grown to become a larger part of a mix and recent growth in our tool manufacturing and the foodservice verticals have further diversified our in market mix. Our national multiline service profile makes is a good fit for these markets and we believe we’re well-positioned to garner more business with the existing and new customers.Business growth is expected from both the existing and new customers. We have a large opportunity grow within our existing customer base, the longer we work with our customers the more opportunity there is for us to add additional lines, to find additional value for the waste streams and to find more waste to develop waste from landfill. Overtime, the strategic nature of our collaboration with our customers gross, which directly help us to build and grow long-term customer relationships.I want to give you a few recent examples of how we’re growing with our existing customers. For one customers we found a new use for one of their waste streams by developing alternative use and a logistics malls disposal, our customer decrease our cost by 30% from this waste stream.And another -- we supported another industrial customer by expanding one of our services in our Canadian locations. A final example as we perform several special projects, adding new service lines for national customers in the automotive service, retail and grocery market verticals.Moving on, I want to talk about our continued investment in technology. We're continuously enhancing our customer facing data portal, our technology gives customers important insight into their operations, helps them with regulatory compliance on a variety of materials and provides them a common data sets to be used in external and internal sustainability report.Here’s the example of how our technology is providing value add to our customers. We used our proprietary analytic tool to correlate sales by store, with the waste going out the back door for long-term retail customer. Using our database benchmark tool, we created a more efficient pickup frequency to their specific waste streams in volume. There was approximately an 8% cost savings for our customers by implementing this more efficient model.However and this is an important bid to understand. Many providers must focus on utilizing their rolling stock and landfills, and have little incentive to help customers lower cost in this way. In our asset light model, we’re directly aligned with our customers to help them save cost and different ways for landfills. We feel this is one of the primary factors differentiating our model.Let me reemphasize our strategy of growing existing relationships, adding attractive strategic customers, providing a portfolio of differentiated offerings, delivering high service levels and utilizing technology to enhance our customers compliance reporting capability is showing solid success.Before I open the call to questions, I want to reiterate our outlook for continued growth in gross profit and adjusted EBITDA in 2019. Our topline revenue will continue to be subject to similar factors that affected Q2. But we expect to meet our profitability goals for 2019, which included growth of gross profit and adjusted EBITDA in excess of 10%.We’re excited about our prospects, outlook and business opportunities going forward. We believe our stronger foundation allows us for a sustainable business that will consistently grow our revenue, profitability, and more importantly, long-term shareholder value. I look forward to keeping you updated on our progress.We now like the operator to provide instruction on how listeners can queue up for questions. Operator?
Operator: [Operator Instructions] We will now take our first question from Gerry Sweeney at ROTH Capital. Go ahead, Gerry.
Gerry Sweeney: Hey, Laurie and Ray, thanks for taking my call.
Ray Hatch: Hi, Gerry.
Laurie Latham: Hi.
Gerry Sweeney: So I wanted to maybe touch a little bit on the Buffalo Wild Wings and the other restaurant win. Just curious as to maybe how long this process took or may be even how challenging it was for you to sort of present your model versus being incumbent or the more traditional waste management company. Obviously or looking at revenue I think you got a great product and just trying to figure out timing in terms of how long the process takes, how challenging it is sort of being a new kid on the block and demonstrating your value. Maybe if you can dig into that a little bit I think that would be helpful?
Ray Hatch: Yeah. Happy to Gerry. This – as we’ve talked about it before it's not a – it’s a relatively complicated sale, because we're bringing a multifaceted solution to a client that in many cases typically is only got one element of solutions.So the timeframe on this is approximately six months. It's a – relatively long sales cycle but getting the opportunity to be able to show just the holistic approach to the waste program and dollar impact and also the other impacts we talked about.Take awhile, but once you are able to establish that we’re really excited about all the value we’re going to be able show them going forward versus what they have before.
Gerry Sweeney: And I guess the follow-up would be to that was – how does your pipeline look now and have you lost any contracts or you just haven't been able to either convince them of value or maybe you weren't as competitive as you thought?
Ray Hatch: I guess there is an always situations with prospects where prices are primary functions. They are not willing to look at a holistic approach to the waste stream. Those are challenging for us and some we run into say our pipeline on the front side will have a number of those, but they don't usually make it towards the end.But our pipeline actually I think the evidence of having these wins crossover into the contract stage is the evidence that it’s moving to the right if you will. We've really started putting more, more in there.I guess the fact I feel good about our pipeline, it’s lumpy how it moves through sometimes, it's nice to be able to report some wins and we look forward to having more as we go forward. So that tells you I think that there's a number in narrow stage of the pipeline. So we’re excited about it.
Gerry Sweeney: That’s fair and I appreciate that. And one final question I talked this one, you talked about lower margin I guess higher volume waste stream, not coming out but maybe slowing down in the quarter from one of your existing customers. Anymore detail you can give around that generally speaking during that sort of higher volume, low margin business would almost be a precursor or maybe some other slowing down of their business in general. But I'm not sure if that's exactly is going to happen just not knowing who it is how operates, et cetera?
Ray Hatch: Yeah. It’s an industrial client so the commodity is that that it was his – but without going into detail is high revenue low margin. And so, that's why you – still see the growth and I think Laurie has said negligible impact on the gross profit line.
Gerry Sweeney: Yeah.
Ray Hatch: Yeah. So that tells the story. But as part of our overall business yeah actually I would say there are some macros that are affecting them right now that aren’t great. And I can tell you there is a couple, there is some trade that you are aware of them actually – there some trade activity going on out there is that a negative effect dependent on your sector and these guys are in that sector.And there is also along with the cares, but there's also some flooding in some of the agricultural zones, that have impacted them near-term. But we do expect and continue to expect growth from this customer. It just had – it had some quarter-over-quarter impact that was negative.And so I'm trying to your question was can I give you more color on, and I think that said, but as far as the overall business, our gross profit dollars are growing with it still, even with that downturn you saw the gross profit dollars with their client group, which kind of goes back to why we stress gross profit dollars as I measure.So I think we’re in good shape there. But, yeah, we have some clients that time some of these factors -- external factors have a negative impact and it should happen to these buys.
Gerry Sweeney: Got it. Okay. No. I appreciate it and I think it was nice power quarter fresh on the two ends that’s great to see as well? Thank you.
Ray Hatch: Thank you, Gerry.
Operator: We will now take our next question from Sameer Joshi from H.C. Wainwright. Please go ahead sir.
Sameer Joshi: Thanks Rah, thanks Laurie for taking my call. Just to follow-up on Gerry’s question the Buffalo Wild Wings contract the 500 sort of current locations and other one with 100 of location. Is there going to be a phased requirement of services there or is it all going to be like starting immediately?
Ray Hatch: It’s going to…
Laurie Latham: Is it going to be a fast deployment…
Ray Hatch: Oh yeah I am sorry.
Laurie Latham: Is that right Sameer.
Sameer Joshi: Yeah.
Laurie Latham: So he is asking about?
Ray Hatch: Go ahead.
Laurie Latham: So with Buffalo Wild Wings yeah we’re in the field with them already. So we are there an operating.
Ray Hatch: Fully deployed.
Laurie Latham: And the other one is we had the more recent and as we have mentioned before those usually take to 60 days to 90 days. So we’re working out the details on that. But its relative soon and we expect it this year.
Ray Hatch: Yeah. And that -- and to emphasize that point that’s, I know I talk about our business model in a while but this is key point of emphasis and opportunity since we don’t have to go state by state or location by location if something like this.Our operations team can do an implementation or national rollout in a matter of all at one-time it just a couple months. So we have to deploy equipment we’re able to that so we anticipate when we started to service for the second one we have already done another first one. We’ll do all our units at the same time.
Sameer Joshi: Understood. Thanks for that clarification. And aren’t these -- what is the size of these contracts, in other words, will these two contracts replace the two lower margins customers that you are facing problem with…
Ray Hatch: Well, the size of the contract, yeah, we’ve probably don’t want to be specific. But we can say, what was the price where you came with on that?
Laurie Latham: So this is one of our more significant contracts that’s in the – we’re expecting it in the millions.
Ray Hatch: Multi-millions, okay.
Laurie Latham: Yes.
Ray Hatch: Okay. We’ll leave as -- I know that’s a little broad but that’s probably as high that we can get Sameer on that. And what was the second part of your question.
Sameer Joshi: Yeah. No. No. It was a multi-millionaire is good enough – answer for me Ray.
Ray Hatch: Okay.
Sameer Joshi: In terms of over the last two years, we have seen seasonally the third quarter is sort of weaker, is that going to be true this year as well and what are the reasons for that?
Ray Hatch: Hang on Sameer we are pulling out some paper work here.
Laurie Latham: Yeah. I don’t know if it’s always the third quarter, but we do have impact because of holidays, really depends on the mix and it also depends on the number of actual service days that occur in the quarter. So some quarters depending on how the calendar falls on the Monday through Friday schedules, because of the large volume of business we do that could have impact.So, I don't know if we could say we're expecting a similar quarter as we had last year. But we do have some fluctuations depending on the mix and the volume and the number of service days, all those play into what our expectations are.
Sameer Joshi: Understood. Just a couple of booking keeping question, the SG&A has been high for the last two quarters around $4.2 million levels I know there were extraordinary one-time charges, but should we expect SG&A to be in the $4 million to $4.2 million going forward per quarter?
Laurie Latham: Yes, we actually talked about this in the past and it will range between like $4 million to $4.2 million and we had back in Q3 last year, Q4, sometimes have some year-end adjustments that are in our favor, so sometimes its little below there but I would say, yes, it's been pretty even you can see that if it's comparable to Q1 our level and that’s sort of the inside I can give on from that particular item.
Sameer Joshi: Okay, and then the last one. On PP&D, I think increase -- and I am guessing it is for the operating lease liability, can you confirm that?
Laurie Latham: Yeah. It is. We have about -- on the books at June 30th, we have $1.9 million in the right-of-use and there is $2 million in lease liability that on the liability section between the – yes, so that’s correct.
Sameer Joshi: Thanks a lot. Thanks there for taking my question.
Operator: It appears there are no further questions at this time. I’d like to turn the conference back – my apology there seems to be another question from George Melas from MKH Management. Would you like to take the question?
Ray Hatch: Sure.
Operator: Mr. George Melas you can go ahead.
George Melas: Thanks you for taking the question at the end. Ray or Laurie, just additional question on Buffalo Wild Wing, you replaced them incumbent but you also consolidate a number of providers or did you primarily replay single incumbent?
Laurie Latham: It is more than one.
George Melas: More than one provider?
Laurie Latham: Yes. But we replaced.
Ray Hatch: Okay. And the key thing is there we’re going to end up part of the waste streams were not being recycled. We’re going to create an environment where they have – their waste chain is going to be diversified out and previously I believe the vast majority of which was going to landfills. So, yes, they have one provider and they are going to have numerous more services than they had in the past because that's the -- we have a broader range of opportunities for that.
George Melas: Okay. I am not sure I made my question clear but did you consolidate several service provider sale or was it just you replace one and you’re going to handle their waste differently?
Ray Hatch: We will replace one and we’ll just -- okay, so basically we did have numerous providers. They did had several other providers so there was some consolidation. A lot of time so we consolidated a lot more than that. In this case we had a large traditional waste hauler, they had national coverage for the majority of what they are.
George Melas: Okay. Great. Great. That’s helpful. And then did you have any 10% customers in the quarter?
Laurie Latham: The same three – we’ve looked at the end of the year we talked about having three customers that were in excess of 10% and that they remain the same.
George Melas: Okay. And can you say Laurie how much those three customers were as a percentage of…
Laurie Latham: I don’t know. We just know that each one of those three is an excess of 10% and then the -- I think the whole amount that we had just close to somewhere around 35%, 40% I think that in our 10K.
George Melas: Okay. Great. Okay. Thanks very much.
Ray Hatch: Thank you, George.
Operator: At this time there are no further questions. I would like to turn the conference back to Ray Hatch for any additional or closing comments. Go ahead.
Ray Hatch: Thank you, Operator. I do want to close first I want to thank all of our investors as supporters and thanks everybody in our call for your interest in Quest. We continue to evolve and toward our focus on profitability and growing gross profit and going in extra solutions additional better solutions hopefully to the clients and I want to thank our associates to Quest employees that work so hard to create that opportunity for us to be able to retain grow and win. So thanks everybody. We're excited about where we are, we’re excited about the future. We continue to find ways to generate more profitability and value for our clients in the marketplace. So all of that hopefully adds up to something that can be greatest and move forward so that's all I have Operator. Thanks everybody.
Operator: That concludes today’s call. Thank you for participation. You may now disconnect.